Operator: Good day. And welcome to the Palo Alto Networks Fiscal Fourth Quarter Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Ms. Kelsey Turcotte, Vice President of Investor Relations. Please go ahead.
Kelsey Turcotte: Great. Thank you very much. Good afternoon, and thank you for joining us on today’s conference call to discuss Palo Alto Networks fiscal fourth quarter and full year 2017 financial results. This call is being broadcast live over the web and can be accessed on the Investors section of our website at investors.paloaltonetworks.com. With me on today’s call are Mark McLaughlin, our Chairman and Chief Executive Officer; Steffan Tomlinson, Chief Financial Officer; and Mark Anderson, our President. This afternoon, we issued a press release announcing our results for the fiscal fourth quarter and full year ended July 31, 2017. If you would like a copy of the release, you can access it online on our website. We would like to remind you that during the course of this conference call, management will make forward-looking statements, including statements regarding our financial guidance and modeling points for the fiscal first quarter and full-year fiscal 2018, our competitive position and the demand and market opportunity for our products and subscriptions, benefits and timing of new products and subscription offerings, organizational changes, our ability to drive outside growth rates, and trends in certain financial results, operating metrics, mix shift and seasonality. These forward-looking statements involve a number of risks and uncertainties, some of which are beyond our control, which could cause actual results to differ materially from those anticipated by these statements. These forward-looking statements apply as of today, and you should not rely on them as representing our views in the future and we undertake no obligation to update these statements after this call. For a more detailed description of factors that could cause actual results to differ, please refer to our Quarterly Report on Form 10-Q, filed with the SEC on June 1, 2017, and our earnings release posted a few minutes ago on our website and on the SEC’s website. Also, please note that certain financial measures we use on this call are expressed on a non-GAAP basis and have been adjusted to exclude certain charges. For historical periods, we have provided reconciliations of these non-GAAP financial measures to GAAP financial measures in the supplemental financial information that can be found in the Investors section of our website located at investors.paloaltonetworks.com. We’d also like to remind you that we will be hosting Investor Day 2017 with onsite registration starting at 8 a.m. Eastern Standard Time on Wednesday, September 27th in New York City. For more information and our registration details, please visit our Investor Relations website or email Shane Xie at sxie@palotaltonetworks.com. And finally, once we have completed our formal remarks, we will be posting them to our Investor Relations website under Quarterly Results. And with that, I’ll turn the call over to Mark.
Mark McLaughlin: Thank you, Kelsey. And, thank you everyone for joining us this afternoon for our fiscal fourth quarter and full year 2017 results. I am pleased to report that we ended the year with a strong fourth quarter. On a year-over-year basis, Q4 revenue was $509 million, up 27%; billings were $671 million, up 17%; non-GAAP earnings per share was $0.92, up 39%; and free cash flow was $190 million. For the fiscal year 2017, revenue was $1.8 billion, up 28% year-over-year; billings were $2.3 billion, up 20% year-over-year; non-GAAP earnings per share was $2.71, up 43% year-over-year; and free cash flow was $705 million. I want to thank our customers, our team and our global partners for these results, their hard work and their ongoing support. In the quarter, we saw a solid demand environment in all theaters and strong customer interest in all the capabilities of our Next-Generation Security Platform. We also saw continued solid gains from the go-to-market work we started in our fiscal third quarter. Customer acquisition in the fourth quarter was very strong with approximately 3,000 new customers added. We are now privileged to serve more than 42,500 customers worldwide. This was by far the strongest quarter for new customer adds in our history, including the addition of a record number of G2000 customers which now total over 1,250. We also added approximately 2,000 new WildFire customers in the quarter, bringing our total number of WildFire customers to over 19,000, an increase of approximately 50% year-over-year. In addition to record new customer additions, we continued to rapidly increase our wallet share of existing customers. In the quarter, all of our top 25 lifetime value customers again made purchases and to make this list a customer had to have spent a minimum of $21.9 million in lifetime value, a 56% increase over the $14 million in Q4 fiscal 2016. This represents a multiple of almost 100 times their initial purchase which is up from approximately 50 times the initial purchase of our top 25 in the prior year period. Specific examples of customer wins and competitive displacements in the quarter included an eight-figure Cisco replacement at one of the world’s largest pharmaceutical companies that included both attached and non-attached subscriptions; a seven-figure Check Point replacement at one of Australia’s largest banks to protect their remote offices; a McAfee replacement on 40,000 endpoints at one of the largest energy companies in the United States; a seven-figure Cisco replacement and competitive win against Check Point at a large U.S. loan corporation for data center segmentation; and a competitive win at a very large global service provider in a cloud data center deal. Our ability to extend prevention capabilities consistently wherever data is deployed or computed is essential in an increasingly dynamic compute environment and, as a result, our platform adoption is increasing across the board. Along with market leading growth for our hardware and SaaS security services, our non-attached subscriptions, including Traps, VM-Series, Aperture and AutoFocus all performed well in the fourth quarter. More than 3,400 customers are now using our VM-Series in cloud deployments, and we have sold millions of endpoints to over 1,400 Traps customers. At the beginning of August Traps received a maximum performance score of 100% detection of real-world attacks on testing done by AV-TEST, a third-party organization with extensive experience testing endpoint security software. In addition, we were positioned in the Leaders Quadrant of the July 2017 Gartner Magic Quadrant for Enterprise Network Firewalls for the sixth time in a row. We continue to take market share, see rapid adoption of the platform, and receive industry recognition because of our relentless focus on innovation and customers. For over a decade, we have been driving major evolutions in security that deliver increasingly high rates of consistent prevention regardless of where data may be, and marrying innovation with a consumption model that overcomes the legacy siloed, expensive and people intensive models that have reached a breaking point. These evolutions build on each other and fiscal 2017 was a very big year for the introduction of new products and capabilities that are driving increased disruption in the market. In the third quarter, we released our new hardware, high-performance virtualized firewalls and feature rich 8.0 operating system. Feedback on these releases has been very positive which is evident in our Q4 results. These new products and capabilities were quickly followed in May with the release of Traps 4.0, which added several key security capabilities and extended operating system support to include macOS. And, at our user conference in June, we announced two new services, the GlobalProtect cloud service and the Palo Alto Network’s Logging Service. Our new GlobalProtect cloud service will deliver all the prevention capabilities of our platform, including application visibility and control, Threat Prevention, URL Filtering, and WildFire to secure remote networks and mobile users. Our new Logging Service is a cloud-based offering that is the basis for better security analytics that provides scalable storage capacity and processing power to help organizations store, process and analyze as much data as possible without needing to plan for local compute and storage. Both services will be generally available in September. In addition, given our critical mass in deployments of architectural enforcement points globally, we made the game-changing announcement at our user conference in June of the next evolution of the industry and our platform, the Palo Alto Networks Application Framework. This open and flexible SaaS framework leverages the existing Palo Alto Networks security infrastructure already deployed across tens of thousands of global customers and which is growing by thousands each quarter. The data from these deployments, our extensive threat intelligence, and new data from the Logging Service allow customers to address a myriad of security needs by being able to rapidly consume and deploy innovative security applications built by Palo Alto Networks, third-party developers, MSSPs and their own teams. This brings customers and security innovators a new level of agility and speed by reducing the complexity of creating, deploying, and integrating security innovations by leveraging already deployed infrastructure. More than 30 security industry vendors have already engaged with Palo Alto Networks to develop applications for the new Application Framework which we are planning to have generally available in early calendar 2018. There has been a lot of excitement and positive feedback around our fiscal 2017 announcements which we had the privilege of sharing live with customers in June at Ignite and then again just last week at our sales kickoff where we trained almost 3,500 team members and partners on the skills they need to sell the platform. The energy level is very high as we come off a strong finish to the year. As we look forward to fiscal 2018, I am excited about driving further disruption in the market and our opportunity to continue to quickly acquire market share. I’ll turn the call over to Steffan to review the financials and provide guidance in a minute, but before doing so will bring you up to speed on a few organizational announcements we made this afternoon. First, I’d like to congratulate Lee Klarich on his promotion to Chief Product Officer, expanding his responsibility to now include engineering as well as product management. Lee, who has been with Palo Alto Networks since 2006, has been a long-time member of our senior executive team and has played a key role in leading the team that has delivered our market-leading security platform. I’d also like to welcome Sridhar Ramaswamy to our Board of Directors. Sridhar, who is currently Senior Vice President, Ads & Commerce at Google, brings deep technical engineering experience and extensive cloud, analytics, and infrastructure expertise to the Board and we are very happy to have him. And, finally, Steffan has informed me and the Board that he intends to retire from his role as CFO. The Company is initiating a search for his replacement and Steffan will remain as CFO until the search is completed. Steffan, you have been a great CFO and friend, as well as a great business leader. You have built a world-class team that has enabled our market-leading growth that positions us well for the future. While you will be with us until we find your replacement, I did want to take this opportunity to thank you for all that you have done for the team. We are all very deeply appreciative. And, with that, I will turn the call over to you, Steffan.
Steffan Tomlinson: Thanks, Mark. And, thank you for the kind words. It is a privilege to work with you and the team here at Palo Alto Networks. I am very proud of what we have been able to accomplish in leading the market in such a short period of time. Now, let’s turn to the numbers and guidance. I’d like to note that except for revenue and billings figures, all financial figures are non-GAAP and growth rates are compared to prior year periods unless stated otherwise. In the fourth quarter, we continued to see positive indicators of the changes we started to make in Q3 2017 in the go-to-market portion of the business, as sales productivity improved sequentially. It was by far the largest new customer acquisition quarter in the Company’s history and we saw strong expansion sales in the existing customer base. I am pleased with the execution of our growth and profitability strategy as we continue to significantly outgrow the market, delivering record revenue, billings and deferred revenue, while also generating record operating income, earnings per share and free cash flow. In Q4, total revenue grew 27% to $509.1 million. For the fiscal year, we reported total revenue of $1.8 billion, a 28% increase year-over-year. Looking at the geographic growth of Q4 revenue, the Americas grew 27%, EMEA grew 28% and APAC grew 27%. Q4 product revenue of $212.3 million grew 11% compared to the prior year and was greater than we expected. Sales of the new hardware, which we launched in fiscal Q3 2017, contributed to the strong results this quarter. Q4 SaaS-based subscription revenue of $155.7 million increased 46%. Support revenue of $141.1 million increased 37%. In total, subscription and support revenue of $296.8 million increased 42%, accounted for a 58% share of total revenue, and is now approximately a $1.2 billion run rate business. Q4 billings of $670.8 million increased 17%. The dollar weighted contract duration for new subscriptions and support billings in the quarter was just under 3 years, essentially flat compared to the end of the second quarter and up slightly year-over-year as customers commit to our platform as their long-term security architecture. For fiscal 2017, total billings were $2.3 billion, up 20% year-over-year. Product billings were $711.1 million, up 6% and accounted for 31% of total billings. Support billings were $715.3 million, up 23%. Subscription billings were $867 million, up 32%. Support and subscription billings accounted for 69% of total billings in fiscal 2017 compared to 65% in fiscal 2016. This mix shift towards subscription and support is a multiyear trend that we expect to continue, given increasing customer adoption of our eight subscriptions, new subscription services to be introduced in FY 2018 and high renewal rates. Total deferred revenue at the end of Q4 was $1.8 billion and increased 43%. Q4 gross margin was 77.3%, a decrease of 210 basis points compared to last year and at the higher end of our target range of 75% to 78%. The decline was primarily attributable to the new products introduced in our fiscal third quarter. In Q4, discounting decreased sequentially and year-over-year. Q4 operating expenses were $273 million, or 53.6% of revenue, while operating margin was 23.7%. For the full fiscal year 2017, operating margin was 20.1%, an increase of 280 basis points year-over-year compared to FY 2016 operating margin of 17.3%, as reported. Included in the 280 basis point increase is approximately 100 basis points of organic operating margin expansion. We ended the year with 4,562 employees, an increase of 767 year-over-year. Net income for the fourth quarter grew 42% year-over-year to $85.5 million, or $0.92 per diluted share. For fiscal 2017, net income grew 47% year-over-year to $253.4 million, or $2.71 per diluted share. On a GAAP basis for the fourth quarter, net loss increased 22% year-over-year to $38.2 million or $0.42 per basic and diluted share. For fiscal 2017, GAAP net loss increased 12% year-over-year to $216.6 million or $2.39 per basic and diluted share. Both Q4 and fiscal 2017 GAAP results include an impairment loss of $20.9 million on property and equipment related to the relocation of our corporate headquarters. Additionally, we expect to recognize a loss of approximately $15.4 million in our Q1 fiscal 2018 GAAP results as we vacate our former headquarters facilities. Turning to cash flows and balance sheet items. We finished July with cash, cash equivalents and investments of $2.2 billion. During the fourth quarter, we repurchased approximately 900,000 shares of common stock at an average price of $134.60 per share, leaving a balance of approximately $580 million available for ongoing repurchases through December 2018. Q4 cash flow from operations of $239.5 million increased 28%. Capital expenditures in the quarter were $49.2 million, including $25.5 million of CapEx related to our new headquarters. Free cash flow was $190.3 million, up 11% at a margin of 37.4%. Excluding CapEx related to our new headquarters, free cash flow was $215.8 million, up 25.8% at a margin of 42.4%. DSO was 70 days, at the low end of the target range of 70 to 80 days. Turning now to guidance and modeling points. This guidance takes into account the type of forward-looking information that Kelsey referred to earlier. For fiscal Q1 2018, we expect revenue to be in the range of $482 million to $492 million, an increase of 21 to 24%; product revenue to be in the range of $170 million to $173 million, an increase of 4 to 6%; billings to be in the range of $580 million to $600 million, an increase of 12 to 16%; and, we expect non-GAAP EPS to be in the range of $0.67 to $0.69, using 93.5 million to 95.5 million shares. We expect CapEx for Q1 fiscal 2018 to be approximately $30 million, including approximately $10 million final expenditure related to our new headquarters. For the full-year fiscal 2018, we expect revenue to be in the range of $2.125 billion to $2.165 billion, an increase of 21 to 23%; product revenue to be in the range of $735 million to $750 million, an increase of 4 to 6%; billings to be in the range of $2.64 billion to $2.7 billion, an increase of 15 to 18%; and, we expect non-GAAP EPS to be in the range of $3.24 to $3.34, using 96 to 98 million shares. Before I conclude, I’d like to provide some additional modeling points. For the full-year, we expect seasonality for revenue to be in line with historical trends as reflected in FY 2018 consensus heading into this afternoon’s call; year-over-year billings growth for the first half of Fiscal 2018 to be approximately 15%; subscription and support revenue to make up approximately 65% of total revenue; our non-GAAP EPS guide to include approximately 150 basis points of organic operating margin expansion, excluding continued investments in LightCyber in the first half of fiscal 2018; CapEx to be approximately $100 million; and, finally, free cash flow margin to be in the range of 37% to 39%. With that, I will turn the call back over to the operator for questions.
Operator: Thank you. [Operator Instructions] And we’ll go first to Ken Talanian from Evercore ISI.
Ken Talanian: First off, I was wondering, where are you in refreshing the group of customers who are likely to come up to renew hardware within the next year or so and with the new hardware? And then, what assumptions are you factoring into your fiscal 2018 guidance around that?
Mark McLaughlin: Hey, Ken. It’s Mark, happy to take that question. So from a refresh perspective, the cohorts for our customers continue to increase each year, so that gets better and better for us as the years go on. And we’ve been doing well on the refresh so far. We’re doing a lot of work to make sure that we capture refresh opportunity and into the future. In our fiscal 2018 numbers, we have a number of drivers associated with product growth; Refresh is one of them, it’s not the primary driver for growth, but it’s one of them in there.
Ken Talanian: Okay. And then, along those lines, are you seeing any changes to the level of attach for your -- attached subscriptions or acceleration in the unattached?
Mark McLaughlin: Yes. We have -- the last time we’d talked about attached, which was a metric that we were not going to provide any longer because we’re more focused on a penetration rate. The last time we talked about it couple of quarters ago, we said it was 2.6 and since that time it’s been rising, continues to rise.
Operator: Thank you. We’ll go next to Michael Turits from Raymond James.
Michael Turits: First, congrats on the quarter. Steffan, thanks for all your hard work over the years. Best of luck in all things and glad you are sticking with us through the transition. Two questions. One, first of all, the guidance was all very strong. But billings, billings growth is still lagging by about 5 points. Any thoughts on what’s happening there in terms of duration or why we’re still seeing that lag? And then I have a product question.
Mark McLaughlin: Yes, sure. So, on the billings side, Michael, as you know, as we came off of the first half of fiscal 2017, we are working through some issues and those are improving for us. We saw productivity increasing through the second half. So, naturally, we were lower on the billings growth than we originally planned in fiscal 2017, so it created a lag to revenue. As you have seen from the guidance, we would expect that lag to continue, but it’s compressing through the back half of fiscal 2018, as we benefit from the ongoing work there.
Steffan Tomlinson: And we’re not seeing any change in duration for FY 2018.
Michael Turits: And then, I wonder if you could talk a little bit about GlobalProtect cloud service and initial reaction on that. We’ve been very positively impressed by it in terms of its importance to the market, and I wondered what else can you tell us there?
Mark McLaughlin: Yes, sure. That’s -- very happy to talk about that. The GlobalProtect cloud service, as I mentioned in the prepared remarks is a new service that we’ll be launching in September, so very shortly. And this is a way for our customers in remote locations and branch offices to use all of our capabilities with the cloud offering, if they choose to do so. So, some customers like to in those kind of location to use hardware, small hardware, and in essence run it themselves. And obviously we’ve been doing that for quite some time for them, others like to have third parties manage that. We’ve been doing that for quite some time with our MSSP partners. And now, we’ll give them an additional way to do that as well through a complete cloud based solution. The interest on this is great from when we rolled it out at Ignite and talked with our customers about it.
Operator: Thank you. And we’ll go next to Walter Pritchard from Citi.
Walter Pritchard: Hi. Steffan. I just wanted to ask you about the free cash flow margin, sort of the high end of the range you talked about. I think you talked about 30 to 40 and you are at 37 to 38. Your revenue guidance at the low end of the range, you talked about corresponding that cash flow range. Any help you can give us understanding what’s enabling you to drive that better cash flow on revenue that’s at the lower end of that range?
Steffan Tomlinson: Well, there are couple of moving parts that go into free cash flow. But, we’re starting to see slight increases in productivity, so billings growth will help with free cash flow. And then, there is also just the overall improving operating margin that we’re trying to drive as well. We’ve signaled that we’re looking at increasing operating margin by 150 basis points of organic operating margin expansion, so that should be helpful as well. So, those are two dynamics. We’re solidly within our growth and profitability framework. And then, the last thing is our taxes continue to be very de minimis. Cash taxes for FY17 were roughly $9 million and we don’t see a very big uptick in FY18 as well. So, those are the moving parts.
Operator: Thank you. We’ll go next to Philip Winslow from Wells Fargo.
Philip Winslow: Hey, thanks guys for taking my question. In your comments, you highlighted obviously strong expansion, and then in Q&A you commented on refresh as well. I really wanted to touch on the new customer acquisition, because if I look at what you did in the second half versus the first half, you clearly saw an improvement there. Just to the team here, I just wondered if you could just drill down on that. Have we started to see the positive impact of the changes that you made, mid fiscal year in terms of new customer acquisition? When you look at new customer acquisitions, maybe comment too, not just on count but deal size, and any sort of color you can give? Thanks.
Mark McLaughlin: Yes. So, customer acquisition, as you saw very, very strong in the fourth quarter, happy to see that. I think there is a number of drivers inside there. The first and most important is I just think that the customer base continues to really gravitate towards Palo Alto Networks and the platform and what we can do with that with things that we’re talking about doing in the future as well are really resonating with customers who really can’t handle all the complexity and cost in the old way of doing things, so there’s clearly a move towards platforms and we consider ourselves a leader there. The second thing is more tactical in nature or operational, which you touched on is the work that we’ve been doing in go-to-market organization, it has paid off dividends in the -- early in the second half and through the fourth quarter, and we would expect that to continue to pay dividends into next year as well. I think some of that is showing itself through in customer acquisition rates as well. And then as far as the customers themselves, they are -- we’re a very enterprise focused company. The ASPs for customers continue to be in the mid-five digits for us that goes up and down in the various quarters. And we certainly pay attention to that but we pay more attention to the lifetime value and wallet expansion. And as you heard us talk about, lifetime value continues to grow very nicely across the customer base including the wallet expansion as well. So, that’s all going well. And probably one more thing that’s worth noting, in the fourth quarter itself, as we’ve seen -- continued great value internationally as well. So, our brand presence and recognition in international markets continues to grow over time and quickly, and we saw solid performance in every theater in the world, and that also contributed to strong customer adoption.
Operator: We’ll go next to Pierre Ferragu from Bernstein.
Pierre Ferragu: Steffan, maybe -- I hope it’s not too difficult a question. But, could you give us some perspective on what your thinking process has been and how you came to this decision to [indiscernible] you retire from the role? And then, if I think of the Palo Alto forward in the next few years, from where you stand today, what you think is going to be like the most important challenge, the Company is going to face? Thank you.
Steffan Tomlinson: Pierre, I appreciate the question. Over the past five and a half years, I’ve been fortunate to be part of the team that’s helped grow and scale to be a market leader. And the company is in a really good shape. We have a lot of management bench strength, and I’m focused on an orderly transition to whomever my successor is. And when I think about just the overall opportunity for Palo Alto Networks with leading technology, great go-to-market organization and the vision in leadership that the Company has, I think the future is very bright. But, I’ll turn that part over to Mark.
Mark McLaughlin: Thanks, Pierre. And the second part of your question, I’d say the most important challenge for us in the future is one that’s been with us for a quite some time, which is to make sure that we can scale well. I think from an innovation technology perspective, he’s done a very nice job. He gets very high marks from the industry, from the customers, from third-party recognition. We just launched a whole slew of new services, the Application Framework which we just announced, we truly believe is very, very disruptive and it’s going to change the entire industry as well again, we’re going to do it again; it’s our plan. But though all that, we’re a large company, growing very quickly and we have to execute well all the time. And I believe that would be the single biggest challenge for us to just make sure we get it right, again and again and again. And yes, we’ve been more right than wrong, but we’ve got a assess it.
Operator: We’ll go next to Rob Owens from KeyBanc.
Rob Owens: You mentioned in your prepared remarks less discounting in the period. And I was curious, if this is a function of the environment or a function of the new solutions that you have, if you can elaborate that would be great. Thanks.
Mark McLaughlin: I think it’s a mix of both things, Rob. So, what I mean by that is that Palo Alto has been very well known for bringing the highest levels of security into the enterprise base for long-term and as a result of that, I think we’re really the premium provider in terms of innovation, and we’re not the cheap providers in the market from a price perspective. So, our customers pay for value and we believe we’re delivering very high value. And as we keep delivering more and more capabilities and value, they’re continuing to pay at the prices we’re looking for and they’re getting a lot for that. So, in addition to that from the price performance throughput on things in the hardware category, those change over time as customers need better and better performance with better and better price for performance. We do things like SSL decrypt and use cases that are growing in nature, and we’ve been able to continue to do for that the customers as well, so that they can have all the performance they need at an acceptable price. I think it’s a mix of a combination of things there.
Rob Owens: Great. And then, on the DSO front, massive improvement on a year-over-year basis. And I guess, it’s one of your best results this year. Was this a more linear quarter than you have seen, it really speaks to you guys kind of getting back to a normal cadence of sales? Thanks.
Steffan Tomlinson: Yes. That’s great question, Rob. So, we’ve been operating in a range of 70 to 80 days. We are at the lower end of the range this quarter. There are number of puts and takes to DSO. We have seen improved linearity, that’s one in particular. But we’ve also seen just good business traction as well and good question cycles. So, a number of things that go into it. But, being at the low end of the range is a good thing. But, we have a range [ph] for a reason because we do see some ebbs and flows to DSO.
Operator: Thank you. We’ll go next to Jonathan Ho from William Blair.
Jonathan Ho: Hi. Good afternoon. And I wanted to add my congratulations as well. Maybe starting off, give us little bit of an update in terms of [technical difficulty].
Mark McLaughlin: Yes, sure. Jonathan, it’s Mark. We were barely able to hear you, but I think I got question. And from using the baseball analogy, from the go-to-market work we’ve been doing, it’s called the bottom of the fifth. As we motioned before, we took a four phased approach of this. We were going to design what we were going to do, we were going to communicate to folks, we were going to implement it and then we have to put it in runtime. We finished the first three phases; we’re in the runtime phase. We have the folks in the chairs for the most part that we need and establish the relationships appropriately with the customers. And this is the human element portion of it now, where we have to have those relationships bake over time. We are exactly where we expected to be at this time, so I’m very happy with the progress. And we think we’re seeing the fruits of that as you can see from the Q4 results.
Jonathan Ho: Got it. And then just in terms of the application framework. Can you give us a little bit more detail in terms of how you think that can maybe further differentiate Palo Alto? And what that could maybe mean for win rates going forward?
Mark McLaughlin: Sure. Let me start off on this one. The hundreds of customers that I’ve been spoken to about this over the course of this past six months at Ignite, BBCs, [ph] the reaction has been very, very positive. And the reason for that is that is pretty obvious that the consumption model in security is fundamentally broken. What I mean by that is, most customers will complain and rightly so that they have way too many vendors, how do you add the next one with less people to do it, less money to do it and complexity to do that. And what we’re doing at the Application Framework is to continue to change, not only what the definition security is which is very high rates of prevention, in this case using increasingly better and better analytics on massive sets of data, but also to be able to consume innovation in a different model. So, no single security company can innovative everything that is going to be needed. Customers know it, we know it. So, the Application Framework is leveraging all of the infrastructure that we’ve already deployed and we’re increasing that by thousands every quarter from a customer perspective and to a big data lake, which is already running at terabytes and petabytes of data for a long time, applying analytics on top of that, which we’ve been doing for long time as WildFire and MineMeld and LightCyber now. And then opening that up through an open API at the top, so that not only the Palo Alto Networks services and capabilities can be consumed, all the things you’ve already deployed but third parties as well. I mentioned in the prepared remarks, over 30 security vendors are currently writing applications into framework, we expect it to be a lot more over time. So, it’s a route to market but other vendors and including ourselves where the customer gets to use that capability, simply by turning it on, without having to deploy something additional into the network or their endpoint or the cloud, which is the very traditional model. So that’s why we think it’s very compelling, customers seem to agree with that.
Operator: Thank you. We’ll go next to John DiFucci from Jefferies.
John DiFucci: Thank you. Mark, you said that ASPs for new deals were in the mid-five digits, but it sort of bounces around a little bit. By my math, and I’d try to figure it out, it was lower than it used to be, let’s say a year ago, and forgetting over the year where there’s lots of things happening, is this just -- does it have anything to do with the greater ratable portion of revenue from new deals, more ratable subscription maintenance than product or is there something else going on there?
Mark McLaughlin: John, it’s a good question and I think that when we are adding as many customers as we add every quarter, you see a wholesale slew of use cases for why people are coming to Palo Alto Networks. As a general matter, as we can average it all out but the definition of what ASP is, the general amount, and we average that all out, we are displacing our competitors at very high rates and lots of times the way that that happened is they want to use us for something and then they go from there and they expand. So, usually, when we’re going to come into an engagement somewhere, we’re going to -- one of the first things that we do, put this in a lab environment or ops environment or some environment to get started and tested. And that of course goes into the ASP for what they’re doing. But then, what happens almost all the time is they buy a lot more from us and spread out very rapidly, which is why we tend to pay a lot more attention to the lifetime value expansion and the wallet expansion of the customers as well. So, it’s not really about ratable subscription services. It’s really about, how do you start off with Palo Alto Networks and then what happens after the initial purchase.
John DiFucci : Got it. Okay. Thanks. And if I could just on the refresh, and maybe this one maybe for Mark Anderson. Since your new products that just came out of last quarter, imply improvements. Are you seeing with some times let’s call that sort of a trade down you’ve seen with other companies in history, when they come out with new products and when customers start to refresh, they may actually buy a lower level product, because they don’t need the same. Maybe they don’t need to spend as much as they did previously. Are you seeing any of that at this point?
Mark Anderson: I mean, we see -- anytime we bring out a new product family it offers dramatic price performance. We see really three things, we see customers to change, they need more bandwidth, because they’re moving a lot more applications around, maybe back and forth public to cloud, and they’ll trade up. We’ll see some customers that will trade down, because the price performance and port density meets their needs on the trade down. But more importantly and this has really become a big factor already as quickly as Q4, is we’re getting deals that we would not have otherwise won with the price performance of the -- in particular, the PA-850 and the PA-5200 family. It’s just very, very disruptive relative to what’s happened with the competition. So, for customers that want real fast capabilities and our next generation visibility, the applications and user behavior, there’s nothing like it out there and that’s been a big help.
Operator: We’ll go next to Sarah Hindlian from Macquarie.
Sarah Hindlian: Congrats on the quarter. I wonder, if you can talk about the overall threat environment a little bit more. Where are you seeing dollars rotated in your products? What’s sort of driving the better attach rate there are on the subscriptions side would be of great interest to us as well? Thanks.
Mark McLaughlin: Sure, thanks Sarah. So, on the threat environment, I think as you can -- the threat environment that we’re seeing, Sarah, let’s start with that. And you can see it all the time in newspapers and the various attacks. What we see from that from customers is the increasing recognition that the position you want to be in as a customer is the ability to get every possible shot you can to prevent an attack and be able to do that very consistently everywhere possible. So that would mean whether it’s in your network or in the cloud or endpoint, and to be really interjected into the attack lifecycle everywhere. So, you increase the probability analysis that you’re going to prevent that attack successfully. That is the definition of platforms and security, which is the ability to get high degrees of prevention in a highly automated way with less and less human involvement but tons of leverage from other companies all in the same kind of network effect if you will and getting consistently wherever data resides. And that’s what we’re delivering of our folks. So, earlier somebody asked a separate question, which I -- the recognition of the need for platforms in this kind of environment where the adversary is increasingly automated, really is starting to underline the need for less and less complex and manually dependant systems that have been delivered through legacy platforms and point solutions. And that’s fundamentally what’s happening with Palo Alto Networks and what’s been driving our growth.
Sarah Hindlian: That’s very helpful, thank you. Sorry for the bad reception. And on products attached, can you dive into that a little bit, maybe a little bit more color? [Technical Difficulty].
Mark McLaughlin: I’m sorry, Sarah. I missed half of that?
Sarah Hindlian: Second part of the question was about Traps, the first was attach…
Mark McLaughlin: Okay. As I said earlier in the attach side, a metric that we’re not sure as all that helpful from what’s happening from lifetime value and extension, [ph] the customers who are looking penetration rates, which continue to grow up over time, the attach rates have increased as we -- as I said earlier on the call and continue to increase, we expect that to continue as customers adopt all of our services. And on Traps, very happy with how Traps performed, of course it’s getting to be a good sized business for us. We have as you heard over 1,400 customers and millions of endpoints. And that’s growing really well and not only does our sales force agree with that, they are very excited about selling Traps, you can see it working very well for customers as well as the partner community as well where increasingly large number of partners are becoming Traps specialized partners, getting all the training as needed in order to bring that to market.
Operator: Thank you. We’ll go next to Gur Talpaz from Stifel.
Gur Talpaz: Great. Thanks for taking my question, and Steffan thank you for all the help over the years. So, I wanted to ask about interest level and uptake in your standalone subscriptions, namely the VM-Series following the refresh earlier this year. Given the added capacity going over to 16-gigs per second with the 700 Series and as well the new features you’ve added to PAN-OS 8. Have you seen any change in the demand pattern for products like 300, 500 or 700 over the past few months?
Mark McLaughlin: Gur, what we’ve seen is really good demand in both cases. So, customers have a lots of use cases, and we’re trying to address all of their used cases. Obviously, some of them and only big growing part of that is cloud-based and where they’re using our VM-Series is in cloud environments, which is whether it’s hybrid or private or public, we can serve all of those with the VM-Series. And with the increasing amount of bandwidth required through because of cloud, SaaS and things along those lines, we have been and will continue to deliver faster and faster throughput in the VM-Series as well. At the same time, with the hardware that we have and we’re going continue to have, hardware is important part of the business. We are the biggest hardware security provider in the world today by launch [ph] we think. Some customers are doing both. They have physical hardware and also have virtualized capabilities in the cloud. They need the consistent protection between both of those. And so, lots of customers are using our hardware and our VM-Series, and we would expect that to continue in the future.
Gur Talpaz: That’s helpful. And then one more follow-up, if I may. On Traps, within endpoint, there’s been a lot of talk about endpoint conversions, primarily through the incorporation of EDR. Do you feel like that’s somewhere you need to go or is that somewhere -- is that a feature you think that could be addressed through the application delivery framework and some of the third parties that are building on top of your framework? Thank you.
Mark McLaughlin: I think we will be both. So, as we went to the very basics of -- when we launched Traps in the first place, so some of the really simple -- simple way to think about things about what you need from an next generation endpoint security solution, you would want the ability to do prevention if you could, detection if you can; you would want EDR capabilities and you want the ability to do some automated forensics as fast as possible. So, over simplifying things along those lines. And what you’ve seen us do with our roadmap with Traps is continually march down that list of things and also partner in cases where we don’t have those capabilities in the market. So, I think it will be a mix of those. And then, on the application framework itself, the other endpoint vendors as well running applications into the framework. And I think other security vendors will do that, even perhaps hopefully some of our competition at some point because ultimately what’s best for the customer is the delivery of the best capability and some largest set of data. And we think we are -- we have the largest set of data today. We’re going to continue to have that -- those are the very, very fast rate of deployment at Palo Alto Networks globally, as you can see from the customer additions and lifetime value extension.
Operator: We’ll go next to Sterling Auty from JP Morgan.
Sterling Auty: Let me start, Steffan, congratulations on a wonderful career. And I do know I’m going to get the questions, so I’m going to ask it in this form. Are you retiring or just retiring from Palo Alto and could we see you as a C level executive in another company going forward?
Steffan Tomlinson: Currently, retiring from Palo Alto Networks as CFO. I’d like to take a little bit of time off to figure out, what I’m going to do next. But, the most important thing for me right now is to ensure an orderly transition and be here until my successor is named.
Sterling Auty: Understood. Again, congratulations. And then, one follow-up. Really impressive results out of EMEA. We saw struggles out of Check Point and [indiscernible] in the quarter and there has been a lot of questions about GDPR and other things. Mark or Mark, any commentary to what you saw in the quarter, perhaps the linearity or the discussions and demand specifically to the theater?
Mark Anderson: Sterling, it’s Mark A here. We did have a very good quarter in EMEA. I think a big part of it is continued kind of elevation of our brand and the combination of the marketing and the sales covers that we have has really helped drive awareness to how we’re different and it gets us appointments. And especially with the GDPR coming in May of next year, there is sort of forced awareness that we’re not running around cashing ambulance. But we’re certainly being asked questions as subject matter experts and we’re turning -- showing ourselves to be much more relevant and much more of a thought leader and then maybe some of our competitors. And just secondly, the team there, the performance across all regions in EMEA without exception was very good and very consistent. So, all the way from the Middle East back to Western Europe in the UK and down to South America was just very solid. So, I think it’s a combination of a good team, elevated brand and just heightened awareness of the fact that legacy, point products, security and devices, we need to move beyond those.
Operator: Thank you. We’ll go next Gregg Moskowitz with Cowen & Company.
Gregg Moskowitz: Okay, thanks very much. And Steffan, congrats and best of luck. Mark, I wanted to follow up on the Application Framework because it does present a fairly radical change to security architecture, as we know it. Can you talk about over what time period you see this playing out as well as what do you think this might mean for your financial model, both over the medium term and long term?
Mark McLaughlin: Yes. It’s a great question, Gregg. As you know, we like to be the disruptors in the industry. So, we’re going to keep doing that. And as I said, I think the model for security today or for some time has been increasingly broken consumption, right. And we did a huge amount of work around that. I’ll call the first evolution that we drove with the Next-Generation firewall where we proved that you could assume a lot of capability that used to be provided as point solutions as hardware into SaaS applications delivered off a hardware. And that’s a big part of our business. We do the second evolution about three years ago by proving this, we still have a lot -- ways to go on this, of course, we’re proving this. The consistency of having the same kind of security, not only the network but also the endpoints and cloud is actually critical and will grow in criticality over time. And very few vendors are going to be end up being able to make those claims as they can do that, high risk prevention exactly the same way, everywhere where the data may be. And then, the third major change or evolution is how do you consume all these things in the future where data become more and more important. So, that’s sort of the setup. I think the specific question about the model and the business is, we would expect this to be transformative to the industry over time. It’s going to take time of course to do that. The Application Framework as we said will be available in the calendar 2018 from us. And we would expect that over time, it would grow nicely. And its routes to market become open to security innovators that would not be able to go build businesses and reach scale and get the data importantly themselves as they could -- that we have because we have it in massive amounts. And just a couple of other thoughts around that. It’s a very virtuous cycle, if you will. And the more capabilities, analytics you can do in data that you have with your own, things you bring to market like Palo Alto Networks has done in the past and will continue to do in the future or that third parties can tap into through that application framework, makes the whole thing more valuable. And we’ll pull through the sensors, if you will, the endpoints and the hardware and the virtual capabilities, because that’s actually how you consume. And then, more of those that are deployed; and we deploy a big amount, drives more data, which makes the data more attractive to people to write applications into. So, I think you kind a get upfront, if you will, bottoms up and the tops down, these things are very self-reinforcing and will grow over time.
Operator: [Operator Instructions] And we’ll go next to Fatima Boolani from UBS.
Fatima Boolani: Good afternoon. Thank you for taking my questions. Mark, and a question for you around the lifetime value metric. That metric continues to be resilient for you and continues to slope upwards. And maybe going back at the basics, can you help us understand sort of what’s going in that metric and maybe what the most sensitive drivers are there in there that we are underestimating and that continue to outperform for that number to reach the $20 million mark?
Mark McLaughlin: Yes, sure. Maybe the simplest answer would be, everything goes in the lifetime value. So, if you purchase something from Palo Alto Networks, it could be hardware, it could be virtual, it could be maintenance and support, it could be subscription services, it’s going to count inside the lifetime value metric, which is one of the reasons why we talk about the multiple of your initial purchase. Somebody earlier asked about ASPs. So, if you look at the multiple of initial purchase, it’s really that and continues to grow over time. As far as the other part of question about what might be less evident, if you will, inside of that, I’ll turn it over to Steffan.
Steffan Tomlinson: Yes. I think as you platform resonates with customers and they’re looking to adopt all of our subscription services, all the new hardware, we have this dynamic where the expansion value of an opportunity, once we acquire the customer dwarfs the initial purchase. So, our customers continue to come to us and say they want less security vendors in the space; they’re looking for a consolidated platform. And the fact that we have great innovation engine going on at the company, we’re coming out with subscription services and products that customers want to buy, that’s playing right into the wheelhouse of where the industry is moving. So, it’s platforms are winning over time. We believe we have the best platform and those are like the key drivers.
Mark Anderson: And there’s probably a dozen different places in a large enterprise that we can sell our use cases. So, we’re constantly looking to pull more arrows from our quiver and which we’ve certainly done with amazing innovation over time. And we can do that in multiple places within the enterprise. So, with the right account coverage, we’re looking to continue to expand at all times.
Operator: We’ll go next to Erik Suppiger from JMP.
Erik Suppiger: Steffan, good luck with retirement. Great working with you. My question is, as you look into 2018, how do you see the expansion into cloud services progressing? Did you see, what kind of adoption did you see in Q4 and how do you plan to position the Company for that in 2018?
Mark McLaughlin: Sure. Hey Erik, it’s Mark. Well, we saw very strong adoption in cloud, and in cloud, there is a number of things inside of there. One is the VM-Series, so lots of strong customer adoption. That’s a good size business for us, keeps growing at very rapid rates. We also saw good adoption from Aperture, which is our CASB offering. We’ll throw that into cloud category as well, so I think customers, they do that. And then, the third thing of the services we just announced on the Logging Service and the GlobalProtect as a cloud service as well. We’ll also add the ability to serve use cases into the cloud for customers. So, we would expect a adoption over time from that as well.
Operator: Thank you. We’ll take our final question from Karl Keirstead from Deutsche Bank.
Karl Keirstead: Thanks. Maybe given last, I’ll squeeze in two. One is, Mark, on the federal government side, we’ve heard from Juniper and most recently Ciena this morning about some expected softness in the federal government side. Obviously, they are big quarters right now. Your guide for Q1 doesn’t seem to reflect weakness. But, I’m just curious what you’re seeing there. And then, if I could squeeze in a second. It seems like Palo Alto is replacing John as the Head of U.S. Sales and I’m wondering if you could put that in context. And is that sort of a last big piece on the sales leadership front as you close on your reorg? Thanks so much.
Mark McLaughlin: Sure, Karl. I’ll take -- this is Mark M, I’ll take the fed question and give Mark Anderson the John’s question. On the fed side, just as a big picture item, we’re a very well diversified company from a revenue perspective, no vertical -- and any quarters representing 12% to 14% of revenue, which is good because our verticals go up and down obviously and sentiments and spending patterns. That’s been a very good business for us for a long time, we’d expect that to be the case in the future. But, I believe that there is a lot of uncertainty in the fed space right now, giving budget anxiety. So, you just pick up the paper, you can read about whether we’re going to have a budget, a continuing resolution. And I think that is past the cloud over what’s going to happen from a spend perspective. Unfortunately into the end of the fed year we’re spending which ends in September, as you know. So, we’ve taken all that into account from a guide perspective. And we hope there will be more clarity in that space in not too distant future but we’re watching like everybody else. I’ll turn the discussion to Mark.
Mark Anderson: Yes, sure. So, Karl, with regards to Spiliotis, [ph] he was with us for over 4.5 years. And gosh, what incredible job he did building the business. He came to us over a year ago and said that -- mostly for family health reasons, he wanted to shut it down at some point and just in a move of incredible character said, what would be the best time for Palo Alto Networks. And so, as we went through our transitions, challenges in the second quarter, John was there leading the changes and really driving that and finished up with the really good strong Q4. And just hats off to him. I’ve known him for 25 years and he’s a good friend and a tremendous guy and he deserves to take a rest, which I know he’s going to do. So, with that much time, we were able to do a good -- I think a good discrete search and spend a lot of time with Patrick Blair. Patrick comes with incredible credentials; he’s a good guy, great culture fit. And as you can hear, the team has incredibly strong bench strength and lot of tenure in the senior leaders of that team. And we’re excited about what Patrick brings to the mix. Patrick’s got scale, managing thousands and billions, which is important for us as we look to our future. And he had incredibly warm welcome at our SKL [ph] last week. And I think people are excited to have him onboard because he’s got a great reputation here in the valley.
Kelsey Turcotte: We’re going to quickly wrap up. Before I turn over Mark, I know we gave you a lot of modeling information today. By practice, we post our script to the webpage as soon as we hang up this afternoon. So, please do go look for that information because there is a lot detail in there that I think you’ll find helpful both for Q1 and for the full year. And with that, I’ll turn it over to Mark.
Mark McLaughlin: Yes. Thanks, Kelsey. And thanks again everybody for joining us on the call today. And as Kelsey mentioned in the opening remarks, our Investor Day will be September 27th in New York. We hope to see everybody there. I appreciate your time on the call. Bye, bye.
Operator: That does conclude today’s conference. Thank you for your participation.